Operator: Greetings. Welcome to OMA's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Emmanuel Camacho, Investor Relations Officer. Thank you. You may begin.
Emmanuel Camacho: Thank you, Sherri. Hello, everyone. Thank you for standing by. And welcome to OMA's Fourth Quarter 2025 Earnings Conference Call. We are delighted to have you join us today as we discuss our company's performance and financial results for the past quarter. Joining us today are CEO, Ricardo Duenas; and CFO, Ruffo Perez Pliego. Please be reminded that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our control. And now I'll turn the call over to Ricardo Duenas for his opening remarks.
Ricardo Duenas: Thank you, Emmanuel. Good morning, everyone, and thank you for joining us today. This morning, I will briefly discuss the approval of our master development program, then Ruffo and I will review our annual and quarterly operational performance and financial results. And finally, we will be happy to answer your questions. During December, we received approval from the Federal Civil Aviation Agency for a master development program covering the '26-'30 period. The approved investment commitment amounts to approximately MXN 16 billion expressed in December 2024 pesos. This new 5-year program is focused on capacity expansion and quality enhancements at our largest airports in terms of passenger contribution while further strengthening the efficiency of our network. Investments are allocated across terminal expansions, airside infrastructure, equipment upgrades, pavement, rehabilitation, modernization works, environmental initiatives as well as safety and certification programs. Capacity and quality improvements, infrastructure optimization, airport equipment and sustainability-related CapEx represent the main drivers of the program. In this context, our MDP prioritizes projects that enhance passenger experience, improve operational efficiency and incorporate technology solutions that support long-term service quality and cost optimization. Sustainability and decarbonization are embedded in our investment strategy with initiatives aimed at improving energy efficient and supporting our long-term emission reduction targets. Importantly, the total investment commitment of 2026-2030 is comparable in real terms to the investment considered in the 2021-2025 cycle. However, traffic levels today are materially higher than 5 years ago. This implies an improvement in capital efficiency per passenger and reflects the scalability of our existing infrastructure. In other words, this MDP reflects disciplined capital allocation, greater efficiency in the deployment of CapEx and a focus on maximizing the use of current assets. The approval also provides long-term regulatory visibility and reinforces the structural growth outlook of our airports. Moving now to our full year 2025 results. This was a year marked by the continued recovery in operational capacity and a strong performance in our main airport of Monterrey. While the Pratt & Whitney engine inspection program continued to affect certain fleets during the year, capacity constraints eased compared to 2024. This allowed Mexican airlines to progressively restore frequencies and reintroduce routes that had been limited or suspended due to aircraft availability. As a result, seat capacity across our airports increased close to 11% during 2025, reflecting improved aircraft deployment and network adjustments. During 2025, we opened 35 new routes, of which 24 were domestic and 11 were international, further strengthening connectivity across our airports. Supported by higher seat availability and route expansion, total passenger traffic reached 28.8 million passengers in 2025, representing an 8.5% increase as compared to 2024, with domestic passenger traffic growing by 8% and international passenger traffic by 12%. The expansion reflects a continued diversification of Monterrey's international footprint. In addition to consolidating its position as a key gateway to the United States, Monterrey has progressively expanded its long-haul connectivity in recent years, including overseas service to Europe and Asia. The consolidation of long-haul routes such as Monterrey-Madrid, Monterrey-Tokyo and Monterrey-Seoul reinforces our long-term vision of positioning Monterrey not only as a regional hub within Mexico, but as an increasingly relevant international connecting point linking Northern Mexico with major global destinations. In 2026, we will continue strengthening overseas connectivity with additional operations to Madrid and the launch of Monterrey-Paris route in April 2026, further expanding our presence across diversified international markets. Beyond traffic growth, 2025 was also a year of solid execution across our commercial and diversification businesses. On the commercial front, we recorded growth across three key revenue line items, driven primarily by the opening of new outlets and continued commercial mix optimization. Restaurant revenues grew by 22%. VIP lounges revenues increased by 30% and parking revenues increased by 13% as compared to 2025. From our diversification lines of business, our industrial park was one of the strongest contributions to growth with 44% increase in revenues versus 2024, supported by higher leased square meters. OMA Carga revenues recorded strong results as well with a 9% increase in revenues, mainly as a result of higher volumes and improved operational efficiencies. Regarding our financial performance, aeronautical and non-aeronautical revenues each grew approximately 12% year-over-year. As a result, our adjusted EBITDA for the year was MXN 10.2 billion, and we recorded an adjusted EBITDA margin of 74.5%. I will now move on to our fourth quarter 2025 performance. In the quarter, OMA's passenger traffic totaled 7.5 million, a 6% increase year-over-year. Seat capacity increased by 8% during the quarter. On the domestic front, passenger traffic grew by 6%, driven primarily by the Monterrey Airport, which saw increase on routes to the metropolitan areas of Mexico City, mainly to Toluca and Mexico City airports, Bajio, Puerto Vallarta, Merida and Guadalajara. These routes collectively added for over 300,000 passengers during the quarter, representing 79% of the total domestic passenger growth. International passenger traffic increased by 4%, mainly driven by Monterrey with higher traffic on the routes to Bogotá, Toronto and Panama and San Luis Potosi on the routes to Dallas-Fort Worth, Atlanta and San Antonio. Together, these routes added more than 67,000 passengers during the quarter. In terms of growth by airline, Volaris, which accounted for 24% of our total passenger traffic in the quarter, recorded a 17% increase in passenger traffic compared to the fourth quarter of 2024, while Viva, which accounted for 51% of our total passenger traffic recorded a 5% traffic increase during the quarter. Turning to our financial performance. Aeronautical revenues increased 6%. Commercial revenues grew by 8% compared to the fourth quarter of '24 and commercial revenue per passenger stood at MXN 62. Commercial revenue growth was mainly driven by parking, restaurants, VIP lounges and retail, mainly as a result of higher penetration and the increase in passenger traffic. Occupancy rate for commercial space stood at 93% at the end of the quarter. On the diversification front, revenues increased 5% with OMA Carga contributing most of the growth, mainly due to -- because of higher revenues from our bonded warehouses in Chihuahua, given our successful strategy to further develop this warehouse in previous quarters. OMA's fourth quarter adjusted EBITDA increased by 6% to MXN 2.6 billion with a margin of 73.6%. On the capital expenditures front, total investments in the quarter, including MDP investments, major maintenance and strategic investments were MXN 755 million. I would now like to turn the call over to Ruffo Perez Pliego, who will discuss our financial highlights for the quarter.
Ruffo Pérez del Castillo: Thank you, Ricardo, and good morning, everyone. I will briefly review our financial results for the quarter, and then we will open the call for your questions. Aeronautical revenues increased 5.6% relative to 4Q '24, mainly due to the increase in passenger traffic. It is worth noting that the peso appreciation against the dollar resulted in a 1.3% decline in international passenger charges despite a 4.2% increase in international passengers. Non-aero revenues increased 7.5%. Commercial revenues increased 8.4%. The line items with the highest growth were parking, restaurants, VIP lounges and retail. Parking grew by 18.4%, mainly as a result of higher passenger traffic as well as higher penetration across our airports and increased tariffs. Restaurants and retail increased 11.3% and 7.0%, respectively, both driven by higher passenger traffic as well as previously opened or replaced outlets. VIP lounges grew by 17%, mainly due to the higher capture rate, primarily in Monterrey Airport as well as the increase in passenger traffic, partially offset by a stronger peso against the U.S. dollar. Diversification activities increased 4.8%. OMA Carga contributed most to the growth in the quarter, increasing by 14.2%, resulting from a higher level of operation and tons handled during the quarter. Total aeronautical and non-aeronautical revenues grew 6.1% to MXN 3.5 billion in the quarter. Construction revenues amounted to MXN 613 million during the fourth quarter. The cost of airport services and G&A expense increased 11.6% versus 4Q '24, primarily due to the following line items. Contracted services expenses rose 14.7%, mainly due to higher cost of security and cleaning services following contract renewals in prior quarters, reflecting inflationary pressures and tight labor market conditions. Minor maintenance increased 24.1%, primarily due to the timing effect of works performed. However, maintenance for the full year increased by 4.0%. Basic services increased by MXN 11 million, mainly due to higher utility costs, particularly electricity. This includes a onetime MXN 6 million impact related to the temporary use of an alternative power supply line at the Monterrey Airport, which carries a higher tariff than our power purchase agreement. This temporary situation was caused by construction works related to the subway line near the airport. And since the end of December, electricity supply has reverted to our regular PPA contract. Other costs and expenses increased by 9.9% due primarily to higher IT-related requirements and transportation services. Concession tax increased 8.0% to MXN 286 million, in line with revenue growth. Major maintenance provision was MXN 216 million compared to MXN 39 million in 4Q '24. It is important to highlight that this is a noncash item. During the quarter, we reassessed our major maintenance requirements to reflect expenditures included in the recently approved 2026-2030 master development program. This reassessment resulted in an increase in the provision liability. Approximately 17% of the total investments under the 2026-2030 MDP corresponds to major maintenance projects. For 2026, we expect the full year major maintenance provision cost to be approximately MXN 400 million. OMA's fourth quarter adjusted EBITDA grew 5.9% to MXN 2.6 billion and the adjusted EBITDA margin reached 73.6%. Our financing expense decreased 12.7% to MXN 290 million, mainly driven by lower interest expense associated to the major maintenance provision as well as higher interest income resulting from a higher average cash position. Consolidated net income was MXN 1.2 billion in the quarter, an increase of 3.6% versus 4Q '24. Turning to our cash position. Cash generated from operating activities in the fourth quarter amounted to MXN 1.9 billion. Investing and financing activities used MXN 663 million and MXN 2.5 billion, respectively. As a result, our cash position at the end of the quarter was MXN 3.1 billion. At the end of December, total debt amounted to MXN 13.6 billion and leverage measured as net debt to adjusted EBITDA ratio stood at 1.0x. This concludes our prepared remarks. Sherri, please open the call to questions.
Operator: [Operator Instructions] Our first question is from Juan Ponce with Bradesco.
Juan Ponce: On the MXN 260 million major maintenance provision recognized this quarter, does this reflect higher maintenance intensity or just timing shifts? Any additional color on the change would be helpful.
Ruffo Pérez del Castillo: Sure. Juan, it does reflect the next 5 year -- well, the 2026-2030 expected expenditures as well as timing changes versus what we had assumed in the past.
Juan Ponce: Okay. And just to clarify, the expectation is that the full year number is going to be around MXN 400 million, correct?
Ruffo Pérez del Castillo: That is correct, noncash. And the P&L impact is noncash, yes.
Juan Ponce: Yes, yes.
Operator: Our next question is from Jens Spiess with Morgan Stanley.
Jens Spiess: Yes. I have a question regarding the passenger fleet. And how do you expect to increase them throughout the year. And -- in order to reach close to 100% of your maximum tariff, what's your expectation there?
Ricardo Duenas: Yes. Thank you, Jens. So the announced increase is 6.9% increase starting April 10. And we anticipate it will take a couple of years, 2 to 3 years to reach the 100% maximum tariff.
Jens Spiess: Okay. So by the end of this year, what percentage do you expect to have completed of the maximum tariff of this year?
Ricardo Duenas: Something around the 93%.
Jens Spiess: 93%. Okay. Perfect. Okay. If I may, just a second question, like any update on the timing of the investments in Monterrey? Yes, it would be much appreciated.
Ruffo Pérez del Castillo: Investment in Monterrey.
Operator: Our next...
Ricardo Duenas: Yes. For the main -- our main works, as you know, are focused on Monterrey and Culiacan. Monterrey, we are anticipating to finish what we've been mentioning, which is by mid-next year, we should be opening the new commercial area of Monterrey. And for Culiacan, we're expecting to open the new commercial area by the end of this year.
Operator: Our next question is from Vanessa Quiroga with Eternal Capital Group.
Vanessa Quiroga: So I would like to ask if you can provide the following details. How much of the master development plan investments for the next 5 years is major maintenance? And whether the rule -- the accounting rule is to provision 100% of that major maintenance during the 5-year period?
Ruffo Pérez del Castillo: Sure. The total investments related to major maintenance in the approved MDP represents approximately 17% of the total MDP for the next 5 years. And the accounting rule is to provision the present value of such expenditure from today until the day the project is expected to start its execution.
Operator: Our next question is from Abraham Fuentes with Santander.
Abraham Fuentes Salinas: I wonder if you can give us more color about the excess of concession tax on aeronautical revenues that we had during this quarter. If this is something that could be recurrent going forward or not?
Ruffo Pérez del Castillo: So the excess pursuant to 2023 tariff-based regulation, that excess was incorporated as additional reference value that was used in the recent negotiation that occurred in December. So that excess is already being recovered through a maximum tariff starting January 1 of this year.
Operator: Our next question is from Gabriel Himelfarb with Scotiabank.
Gabriel Himelfarb Mustri: If I may, I have two questions. First, the MDP CapEx on Monterrey, how much do you expect such commercial revenues to ramp in percentage terms -- in terms of EBITDA, how much EBITDA do they -- do you expect they might ramp up for OMA? And the second is, have you seen any -- or what's your view or your color on the Viva-Volaris consolidation in terms of routes and seat allocation?
Ricardo Duenas: In terms of the second part of your question, we're still assessing the potential impact. So it's still an analysis, the impact. And in terms of the first part, Ruffo?
Ruffo Pérez del Castillo: Yes. So we do expect a bump after the commercial areas of the expanded Terminal A are opened towards the -- starting the second half of next year, and it's a full year effect being reflected in full in 2028. We do expect about a 10% to 15% increase in spending per pax in Monterrey in real terms on an annualized basis once these stores and new outlets are opened.
Gabriel Himelfarb Mustri: Okay. And if I may, I have an additional question. Have you been -- well, how is your view towards asset acquisitions like perhaps involving VINCI and the MDP or the future acquisitions, making, I don't know, OMA a consolidation vehicle?
Ricardo Duenas: In terms of new acquisitions, we're always looking for opportunities to expand locally or internationally. At the moment, there's no specific transaction that we're looking at. If there were in the future, that was something that will be discussed internally between VINCI and ourselves. We do -- we are -- look, one thing we are looking it at expanding our hotels presence. So we're evaluating a new hotel in Monterrey and another one in Ciudad Juarez. And we're also looking to expand our industrial park in Monterrey.
Operator: Our next question is from Alberto Valerio with UBS.
Alberto Valerio: I have two here. If you could provide a little bit more details on the line of revenues as well on cost revenues, if -- do you guys have an impact from FX on the international traffic? And on cost, if you could provide a little bit more details on maintenance. You mentioned that will be a big portion of your next MDP. How can we forecast this for the future? And if you could provide any more details on what would expand it?
Ruffo Pérez del Castillo: Yes. So the first part of your question was related to the FX impact, correct? Okay.
Alberto Valerio: Perfect. Yes.
Ruffo Pérez del Castillo: So we basically -- on the revenue line, we have four items that are very closely related to FX, which are international passenger charges VIP lounge, duty-free and industrial park. We estimate that the impact of the peso appreciation in the fourth quarter of '25 as compared to the fourth quarter of '24, which was about an 8% appreciation was between MXN 50 million to MXN 60 million. That was our estimate of the effect of such appreciation. Regarding the second part of your question, we do expect at least for 2026 that the full year provisioning would be around MXN 400 million, and we're still assessing what the impact would be for the following years. And it will depend on both construction costs as well as the interest rate -- long-term interest rates used to discount that provision.
Alberto Valerio: And if I may, just one more about the violence that we have seen. I know that the region Jalisco is a little bit different from OMA airports region. But do you have any sort of impact on your airports or cancellation routes and so forth?
Ricardo Duenas: All our 13 airports are operating normally. We did see on Sunday during the event, a few cancellations from Guadalajara and Puerto Vallarta Airport. There were some yesterday, but today is operating normally, and it is not something that -- it's not a traffic that we believe will have an impact in our numbers.
Operator: Our next question is from Anton Mortenkotter with GBM.
Ernst Mortenkotter: Just a quick one. We've heard and we've seen in some newspaper, some of your peers are considering some alternative financing methods such as maybe FIBRA. I was just wondering if you guys are considering something -- an alternative to funding your CapEx similar to those or any special vehicles that you may be looking at?
Ruffo Pérez del Castillo: So right now, we are not necessarily considering other type of structures different to what we have used in the past few years. We do have some refinancings of debt that is due this year, and we would expect to tap the CEBURES market as we have done so in the past 4 or 5 years.
Operator: Our next question is from [ Julia Arce ] with JPMorgan.
Unknown Analyst: So can you comment a bit on your traffic expectations for the year? So on previous call, you were mentioning a low to mid-single-digit growth rate for 2026. Is this still the case?
Ricardo Duenas: Yes. For the year, we're anticipating somewhere in the low to mid-single-digit growth in traffic.
Operator: Our next question is a follow-up from Vanessa Quiroga with Eternal Capital.
Vanessa Quiroga: My question is regarding the increase in the tariffs. The 7% in real terms that you mentioned, what is the base for that? Is the base the average in peso terms achieved in 2025? Or do you assume any FX? What is the base that you're using?
Ruffo Pérez del Castillo: Sure. The MDP approved maximum tariff was a 6.9% real increase in all of the airports, and that reflects the 2025 maximum tariff. So 2026...
Vanessa Quiroga: So that will increase a few...
Ruffo Pérez del Castillo: It's the 2026 maximum tariff as compared to the 2025 maximum tariff. That increase in real terms, that's excluding inflation, is 6.9%.
Vanessa Quiroga: So the part that maybe I need clarification, you are in 2026, you are going to have that increase or that's targeting 3 years?
Ricardo Duenas: Yes. The increase that we're going to pass through this year is 6.9% starting in 10th of April. That includes inflation as well. So it's a nominal 6.1% increase.
Operator: Our next question is from Enrique Cantú with GBM.
Enrique Cantú: So as you implement tariff increases under the new MDP, how are you assessing demand elasticity, particularly in routes like Monterrey and tourist destinations? And could you share your outlook for further route additions and whether you see scope for continued expansion based on your ongoing discussions with carriers and route additions?
Ricardo Duenas: Sorry, could you repeat the question, Enrique? Sorry.
Enrique Cantú: Yes, of course. So it's about demand elasticity. How are you assessing the demand elasticity, particularly in routes like Monterrey and tourist destinations as you implement your tariff increases under the new MDP?
Ricardo Duenas: Yes. So in terms of elasticity, we believe that the pass-through that we're implementing this year is not going to have a major impact in terms of elasticity -- traffic elasticity.
Ruffo Pérez del Castillo: Yes. Just regarding new route openings, so far, 20 routes have been confirmed. 17 of them are domestic and 3 are international. And they start the vast majority of them in June of this year from airports such as Monterrey, San Luis Potosí primarily.
Operator: Our next question is from Andres Radin with TRG.
Andres Radin Borrajo: I was curious about commercial revenues per passenger and revenue from diversification for 2026. What kind of growth should we be expecting in any particular lines? Do you see any for this year?
Ruffo Pérez del Castillo: Okay. So in terms of commercial revenue per pax, they ended 2025 around MXN 62 per pax. We expect similar amounts for the next few quarters in 2026. And regarding diversification revenues, we don't look at them on a per pax basis, but rather as a whole. We have, as you know, both 2 mature hotels, the NH in Mexico and the Hilton Garden in our Monterrey Airport. So we should expect inflationary increases in the results of those 2 units. And the driver of this year of diversification would be our OMA Carga unit which should have double digit growth.
Operator: [Operator Instructions] There are no further...
Ricardo Duenas: We would like to thank everyone for participating in today's call. We appreciate your insightful questions, engagement and continued support. Ruffo, Emmanuel and I remain available to answer your questions. Thank you once again, and have a great day.
Operator: Thank you. This does conclude today's conference. You may disconnect at this time, and thank you for your participation.